Operator: Good afternoon, ladies and gentlemen. My name is Mike and I will be your host operator on this call. After the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time. [Operator Instructions] Please note that this call is being recorded as of today Tuesday, February 16, at 4:00 PM Central Time. I would now like to turn the meeting over to your host for today's call, Colleen Healy, Vice President of Investor Relations at TransUnion. Please go ahead.
Colleen Healy: Good afternoon, everyone and thank you for joining us. This afternoon I am joined by Jim Peck; President and Chief Executive Officer and Al Hamood; Executive Vice President and Chief Financial Officer. Today's call will start with Jim providing some key takeaway's from our fourth quarter results. He'll turn it over to Al for a more detailed Q4 review and then Jim will conclude today's prepared remarks by providing guidance for full year 2016 and Q1. After that we'll take your questions. Our earnings release includes an addendum of financial highlights, which contains more detailed information about revenue, operating expenses and other items including certain non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to their most directly comparable GAAP measure are included in our earnings release. These materials can be found on our investor relations website at www.transunion.com/tru. The earnings release is also available as an exhibit to our current report, on form 8K furnished today with the Securities and Exchange Commission. We plan to file and make available our Form 10-K for the year ended December 31, 2015 on February19 and it can also be found through these same resources. Today's call will be recorded. Please be aware that if you decide to ask a question, it will be included in both our live transmission, as well as any future use of the recording. Shareholders and analysts can listen to a live webcast of today's call at the TransUnion website. A replay of the call will be available at the same site following the conclusion of the call. As we discuss results today all growth comparisons relate to our comparable quarter of last year, unless otherwise specified. We will also be making statements during this call that are forward looking. These statements are based on current expectations and assumptions and are subject to risk and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today's earnings release, in the comments made during this conference call and in our most recent form 10-K, forms 10-Q and other forms and filings with the Securities and Exchange Commission. We do not undertake any duty to update any forward-looking statements. With that, let me now turn it over to Jim.
Jim Peck: Thanks Colleen and good afternoon, everyone. I'll start today's call with a few key points from our fourth quarter's performance followed by the primary drivers of that performance in each of our business segments and then after Al provides details on Q4, I'll share our 2016 and Q1 outlook. Q4 capped off an outstanding year of performance for the company. In 2015 we crossed over the $1.5 billion revenue mark for the first time and generated over $200 million in annual revenue than we did in 2014. Any full year that generates 15% revenue growth and 16% adjusted EBITDA growth is an excellent one and it's especially notable performance coming off a prior year of double-digit growth rates and against increasing FX headwinds. So on a constant currency basis, the business grew even faster at 18% revenue growth and 19% adjusted EBITDA growth for the full year of 2015. Equally important from my point of view to the pace and size of the growth is its breadth across some increasingly diversified business. During 2015, all three segments, USIS, International and Consumer Interactive grew double-digits on a constant currency basis and unwrapping the drivers within those three business segments reveal yet more diversification behind a strong performance. Specifically, within USIS, all three platforms posted double-digit growth rates. Within International, each of the developed and emerging markets grew at a double digit clip on a constant currency basis and within consumer interactive, which turned in over 30% growth, each of the channels grew double digits. We're reaping the benefits of diversification and of selecting the best channels, vertical markets and geographies to leverage our core competencies, through customers and partners. We're also pleased that in a year of investment, the robust demand for our offerings allowed us to continue to expand margins, yielding 2015 adjusted EBITDA margins of 35%. Turning to the quarter now specifically, we posted record fourth quarter revenue in those themes that I just outlined for the year, also manifested themselves during the quarter. Revenue grew 15% or 19% on a constant currency basis with over 95% of that growth driven organically. In USIS, all platforms grew revenue over 15% and we saw strength across our verticals with financial services, insurance, healthcare, rental screenings and government contributing to USIS' double-digit growth rate. We're delighted that our largest vertical financial services is on its front foot with a focus on innovation and growth in both the core and new growth initiatives and solutions. It was a roughly a 60-40 split between growth from the core versus growth from the new growth initiatives in our financial services business during the quarter. We've talked quite a bit with you in the past about CreditVision and TLOXP, which continued to perform extremely well. Today let me give you a bit more color on our fraud and identity management solutions initiative, which will also give me an opportunity to discuss the acquisition of Trustev during the quarter. Fraud is growing in volume and specification and legacy fraud detection approaches are increasingly ineffective. Fraud and Identity Management solutions is an area where we leverage our core capabilities to serve both businesses and consumer customers across a number of verticals, channels and geographies. TransUnion continues to invest in building our capabilities to help customers manage their risk. In December 2015, we closed on the acquisition of Trustev, a global provider of digital verification technology. Trustev Technology evaluates online transactions in real time enabling customers to reduce fraud and authorize more legitimate purchases. Together TransUnion and Trustev create a very powerful approach for identity and digital verification to stop online fraud. The combined platform offers customers new levels of confidence to support account acquisition, account management and online payments. Customers have experienced up to a 60% decrease in fraud losses while boosting approvals for the TransUnion and Trustev Technology offered in our combined solution. Over the coming months we will be increasing the integration of our technologies with core capabilities and operations. This acquisition augments our technology and talent and builds on our success as a trusted source of fraud and identity management solutions. Moving on to our international business, revenue growth combine 17% on a constant currency basis in the quarter. Developed markets also experienced a 15% revenue increase on a constant currency basis. In Canada, our business continues to expand including at some of the largest banks supported by our compelling credit vision offering. Emerging markets grew revenue 17% on a constant currency basis in the quarter. India once again propelled Asia Pacific to our fastest grower in International. Latin America also turned in a strong performance. Emerging markets represents over 60% of our total international business and given some of the exciting activity that has transpired since our last earnings call, let’s take a moment to update you on a couple of developments. Starting with India, during the quarter in November we took the opportunity to again increase our stake in CIBIL, the first credit reporting agency in India that we cofounded in 2001 by another six points to a 66% ownership stake. We previously discussed India and our business there with you at length, so I'll just say here that India continues to be an outstanding market for us and a prime example of the sort of characteristics and dynamics we target. We see high geographies that have a growing middle class with increasing purchasing power and where our risk and information solutions and innovations can make a critical difference in fuelling and even accelerating economic growth. Although very different countries, Columbia shares many of the same emerging market characteristics as India that we seek when entering or further penetrating a particular market and we consummated a deal there after the quarter ended that we thought you might want to hear more about. On February 8 ,we closed the acquisition of 71% ownership stake in the Columbian credit bureaus CIFIN for the equivalent of about $127 million net of cash acquired with plans to obtain the remaining shares of 2016. Columbia is one of the largest Latin American economies. Its middle class is projected to grow from 25% today to 37% of the population over the next four years with increasing opportunities to access credit. The largest Columbian banks have been investing significantly in Central America. TransUnion already has a number one or number two position in multiple countries in Latin America and this asset nicely enhances our regional footprint. We believe we had an attractive Latin American portfolio with a long run rate to outpace market growth. Columbia’s bureau market has been -- has both positive and negative data and CIFIN was established 35 years ago and has a strong foundation of full file data. This full file bureau data allows us for greater innovation through sophisticated solutions, Columbian banks are astute in their understanding and use of this data and there is a strong market desire for new solutions and competition. CIFIN's data represents more than 2700 traditional and alternative data sources and provides credit reports and scores on $46 million individuals and $2.3 million businesses. It's portfolio of products and services spans multiple industries and although it’s been growing revenue at a double digit rate with very attractive CIFIN has not reached full potential. We believe that our ability and expertise in operating the asset will enable growth beyond the market rate over the long term. We plan to do this by following the same growth playbook that we've successfully employed in other emerging markets bringing TransUnion innovations to the Columbian market to advanced analytics, decisioning and fraud solution and enhance direct the consumer platform and expansion into adjunct industries. Given the number of solutions we would like to launch in the market, will also extend our sales force effectiveness of program there. In short, Columbia meets the criteria of a high growth market with attractive upside and emerging middle class and a banking system with which we can partner. Together this provides a solid foundation on which we have a track record of successfully generating high demand for our solutions. The purchase price was financed through our revolving credit facility at a pro forma net levered ratio of 4.2X. Strong performance from our business has enabled us to maintain a net debt leverage close to where we exit Q3. At these levels, we never felt more comfortable to drive growth in the business and further achieve balance sheet efficiencies. The transaction will be slightly accretive to 2016 adjusted EPS, the impact and growth from this deal and Trustev will be included in the 2016 forecast that I will provide later on the call. Moving on to our Consumer Interactive business, during the quarter Consumer Interactive generated revenue growth of 30%. Our leadership position is a nice one to have in a space that continues to grow as more and more people proactively manage and monitor the health of their financial life. We continue to be very focused on growth. The model that we pioneered continues to grow and bring more partners both personal financial management companies and financial institutions and consumers into the fold. In fact, we share existing partners growing as the space gross or perhaps it would be more accurate to say that we along with our partners are helping to expand the opportunity as we deliver on our mission of personal empowerment to help consumers achieve their goals with better credit and financial management. We continue to attract new partners and renew relationships with existing ones. Additionally this quarter once again drove higher retention rates over this time last year, which is key for reoccurring revenue streams and realizing their return from our investments to acquire subscribers. So turning back to company-wide results, during the quarter we made the investments we previewed for you on our last earnings call and we're delighted to share that the revenue outperformance resulted in adjusted EBITDA margin expansion during the quarter of 80 Bps to 35.5% resulting in 18% adjusted EBITDA growth or 22% on a constant currency basis. So in total the company had robust mid-teen growth, adjusted EBITDA growing even faster than revenue, on top of a Q4 in 2014 that posted double-digit growth rates. Our strategy and execution across our business are strong and sets us up nicely for 2016 and beyond. Before I turn to guidance, I’ll now turn the call over to Al for more details on our fourth quarter performance. Al?
Al Hamood: Thank you, Jim and good afternoon. Today I’m going to walk through our consolidated results and then I’ll move through their GAAP P&L to operating income along with the adjustments to drive adjusted operating income. Then I will move to the segment results and I will finish up with a review of the balance sheet and cash flow statement along with a few housekeeping items as we think about 2016. Fourth quarter consolidated revenue was $386 million, an increase of 15% or 19% on a constant currency basis compared with the fourth quarter 2014. Revenue from acquisitions contributed less than 1% of growth in the quarter. Adjusted EBITDA was $137 million, an increase of 18% or 22% on a constant currency basis compared with the fourth quarter 2014. Adjusted EBITDA margin was 35.5%, an increase of 80 basis points compared with the fourth quarter of 2014. Adjusted net income was $56 million, an increase of 82% compared with the fourth quarter of 2014. Adjusted diluted EPS was $0.31 compared with $0.21 in the fourth quarter 2014. The adjusted effective tax rate for the fourth quarter was approximately 38%. Now let me walk you through the details of our P&L. As I just mentioned, consolidated revenue increased 15% or 19% on a constant currency basis. This again was driven by strong broad-based growth across each segment. Operating income was $49 million an increase of 139% compared with the fourth quarter of 2014, driven by the increase in revenue and lower operating expenses as a percent of revenue. Cost of services was $139 million, an increase of 15% compared with the fourth quarter of 2014 due to increase in variable and non-variable product cost, increased variable compensation related to the financial performance of the business, inorganic increases in operating expense from recent acquisitions that have not fully lapsed and investment. This increase was partially offset by savings enabled by our technology transformation along with the impact of weakening foreign currencies. SG&A was $129 million, an increase of 1%, driven primarily by increased variable compensation related to the financial performance of the business and investments in key strategic growth initiatives including headcount to support these initiatives. The increase was partially offset by savings enabled by productivity related initiatives and the reduction of 2014 M&A integration related expenses along with the impact of weakening foreign currencies. And depreciation and amortization was $69 million, an increase of 3% due partially to the overall increase in capital expenditures in 2014 and early 2015 related to the initiative to transform our technology platform and improve our overall corporate headquarters. D&A not related to 2012 change of control transaction and subsequent acquisitions was approximately $26 million for the quarter. Adjusted operating income was $110 million, an increase of 16% compared with the fourth quarter 2014 after adjusting for the following items as noted in Schedule 5 of the earnings release. Now looking at the segment revenue and adjusted operating income. USIS revenue was $245 million, up 17% compared with the fourth quarter 2014 driven by double-digit growth across each platform starting with online data services revenue was $158 million, an increase of 16%, driven by an increase in credit report volume. Marketing services revenue was $42 million, an increase of 17% due primarily to increased batch activity derived from demand for our newer solutions such as CreditVision and revenue from our recent acquisitions. Decision services revenue was $45 million, an increase of 23% due primarily to the revenue growth in healthcare and insurance markets and revenue from the acquisition of DHI. Adjusted operating income for USIS was $79 million, an increase of 16% compared with the fourth quarter 2014 due primarily to the increase in revenue along with savings enabled by our technology transformation partially offset by increased variable compensation related to the financial performance of the business, investments in key strategic growth initiatives and additional depreciation amortization. International revenue was $70 million, a decrease of 1% or an increase of 17% on a constant currency basis compared with the fourth quarter 2014. We saw strong constant currency revenue growth in both developed and emerging markets that was offset by an 18% decrease in revenue from the impact of foreign exchange rates, namely the South African rand, Brazilian real and the Canadian dollar. Developed market revenue was $25 million, an increase of 3% or 15% on a constant currency basis. Emerging markets revenue was $44 million, a decrease of 3% or an increase of 17% on a constant currency basis. Adjusted operating income for international was $20 million, a decrease of 7% compared with the fourth quarter 2014. On a constant currency basis, adjusted operating income increased 11% driven by the increase in revenue, partially offset by increased variable compensation related to the financial performance of the business and investments in cost management initiatives to drive operating efficiencies and longer term margin expansion. Consumer Interactive revenue was $77 an increase of 30% compared with the fourth quarter 2014, driven by growth in both the direct and indirect channels. Adjusted operating income for Consumer Interactive was $31 million, an increase of 21% compared with the fourth quarter 2014, due primarily to the increase in revenue partially offset by an increase in variable and non-variable product costs and increased variable compensation related to the financial performance of the business. Now moving on to the balance sheet, cash and cash equivalents was $133 million at December 31, 2015, compared with $78 million at December 31, 2014. Total debt including the current portion of long-term debt decreased to $2.2 billion as December 31 2015, compared with $2.9 billion at December 31, 2014. The reduction was due primarily to the recapitalization of our balance sheet with the proceeds from our IPO. As of December 31, 2015 we have the full $210 million revolving credit facility available for use. However we drew down $145 million from this facility to fund the acquisition. Our net leverage as of December 31, 2015, was approximately 3.9 X, down from 4.1 X as of September 30, 2015. With the acquisition, our pro forma net leverage is 4.2 X. Moving onto the statement of cash flows, for the 12 months ended December 31, 2015, cash provided by operating activities of $309 million, compared with $154 million for the same period in 2014, due primarily to the increase in revenue along with the decrease in cash paid for interest. Cash used in investing activities was $197 compared with $276 million for the same period in 2014, due to lower acquisition activity and lower capital expenditures. Capital expenditures were $132 million or approximately 9% of revenue compared with $155 million or approximately 12% of revenue for the same period in 2014. Total capital expenditures were lower in 2015 than 2014 as the improvements to our corporate headquarters are complete and investments in the initiative to transform our technology platform have decreased. Cash used in financing activities was $51 million compared to a source of cash of $92 million for the same period in 2014 due primarily to the net pay down of debt, partially offset by the net proceeds from our IPO. Before I hand it over to Jim for his final remarks, I am going to cover a few housekeeping items as we move into 2016. Full year 2016, we expect depreciation and amortization not related to the 2012 change in control of transaction and subsequent acquisitions to be between $115 million to $120 million for the full year. The increase is due to the capital expenditure investments we made over the past few years, primarily related to our technology transformation that is nearing completion and yielding tremendous benefit to our top and bottom line. Interest expense net of interest income is expected to be between $85 million and $90 million for the full year 2016, adjusted effective tax rate of 38% for 2016 and an adjusted diluted share count between $185 million and $186 million shares. Lastly for 2016, we expect capital expenditures to be approximately $125 million or approximately 7.5% of 2016 revenues. That concludes our prepared remarks on the fourth quarter financial results. I will now turn the call back to Jim.
Jim Peck: Thanks Al. Now turning to our forecast, let me first outline some of our key assumptions and inputs. The growth outlook and guidance that I am providing today includes organic growth and the impact from acquisitions already closed, namely the trust of and Columbian acquisitions. If as the year progresses, we consummate any additional M&A activity. We'll update our overall growth rates and guidance at that time. Also we expect FX will continue to provide headwinds. At today's rates our guidance reflects two points of drag on the year and about three points for Q1 due to foreign currency rates. So starting with guidance for full year 2016, we expect our revenue to come in between $1.6 billion and $1.62 billion, an increase of approximately 6% to 8% over 2015. On a constant currency basis, that translates to 8% to 10% growth. About two points of growth will come from acquisitions previously closed. Adjusted EBITDA for the year is expected to be between $580 million and $590 million, an increase of about 10% to 12% over 2015. On a constant currency basis, that yields 12% to 14% growth. This results in adjusted EBITDA margins of roughly 36% for about a 100 basis point increase over 2015. Adjusted diluted earnings per share for the year are expected to be between $1.24 and $1.28. For the first quarter of 2016, we expect the following. Revenue should come in between $377 million and $380 million, an increase of approximately 7% to 8% or on a constant currency basis, growth of 10% to 11% compared to the first quarter of 2015. Taken into that forecast is about one point of growth due to previously closed acquisitions. Adjusted EBITDA is expected to be between $127 million and $129 million, an increase of approximately 11% to 12%, or on a constant currency basis, growth of 14% to 16%, compared with the first quarter of 2015. Adjusted diluted earnings per share are expected to be between $0.26 and $0.27. In closing, 2015 was an outstanding year for the company and it also marked a number of important milestones on our journey of transformation that we started in earnest in 2013. I am very pleased with the achievements that the team delivered especially in the areas of product momentum and innovation, investments in acquisitions and the initial public offerings and employee engagement. Let me take each of these in turn. Gains and product momentum were significant and in many cases, our leadership drove innovation for our industry. For example in past calls, we've discussed at length the benefits of trended credit and our vision to take that more broadly to our industry, while driving growth for TransUnion with products like CreditVision. We were delighted in 2015 to see the adoption of CreditVision by key customers around the globe. Fannie Mae's announcement to integrate trended views and our CreditVision offering and it's assessments of mortgage applications beginning mid-next year is an exciting one We're honored to be the pioneer in trended consumer data and to be a leader in moving our industry forward with innovative approaches. We've also discussed unique offerings like E-scan in our newer higher growth verticals like healthcare and how the approach we bring to our customers has made a real difference and their ability to post profitability in an area of rising uncompensated care cost. It was exciting to announce in December that our healthcare solutions over the years have helped more than 1,000 hospitals and thousands of physician partners to recover more than $1 billion in reimbursement from what would have otherwise been uncompensated care cost. We've also pioneered a new dynamic approach to serving and expanding the consumer market within our consumer interactive segment and we continue to innovate directly and with our partners to revolutionize the customer experience in the business model itself serving the broadest consumer base to its wide and varying needs, consumption patterns and monetization preferences. Our growth in our consumer interactive business is simply industry-leading and these are just a few examples of the sort of leadership we're brining as we continue on our cycle of innovation. 2015 was also a successful year in investing in key capabilities to capitalize on a tremendous and global opportunities in the years ahead. We feel confident about the areas in which we've chosen to invest for growth and productivity and we're delighted to see early returns in our results. We're methodically going about executing our growth playbook to deliver a business model that scales across multiple high growth verticals and attractive geographies. We're happy with the markets in which we participate and the path we're on. Furthermore, Project Spark which refers to our investments in next generation analytics and technologies remains on track for completion by the end of the first half of 2016. Important acquisition were made in 2015 such as increasing our majority stake of CIBIL in India and acquiring Trustev and in 2016 by a majority stake in CIBIL. Furthermore, acquisitions completed in the past are well integrated into the business and our successor products or businesses are performing very well from E-scan to DHI, TLO to L2C among others. Of course this year as you know, we also completed our initial public offering, which turned out to be the eight largest of 2015. We were delighted to expand our shareholder base and welcome such high quality investors into the name. It also afforded us the opportunity to reduce our net debt leverage from 6.1X at Q2 of '15 to 4.4X immediately following the IPO and balance sheet recapitalization, the 4.2X pro forma to subpoena acquisition sets us on our way for further deleveraging and resulting accelerated adjusted net income and adjusted EPS growth. As important as any of these significant milestones and our long-term growth journey is the rising level of our employee engagement who are enjoying as an organization. Our annual employee engagement survey reveals that our employees who we refer to associates are excited about our mission and understand our strategy to deliver upon it. It means a lot to me that our associates feel motivated to come to work offering their best efforts, ideas and team work and as a leadership team, we're committed to making this the best place to take careers forward. My leadership team and I are delighted with the caliber of talent that the company is attracting, retaining and growing here at TransUnion. Our team is passionate about what we do at TransUnion for our customers. We're committed to delivering upon it at a world-class level. With this foundation we feel good about our long-term strategic operational and financial objectives that we set out to achieve. Our model and the markets in which we've chose to compete and how we're going about leveraging our core capabilities to scale and to further penetrate and grow these attractive markets is paying off. We believe we're doing it in a differentiated way in order to generate value over the long term for our customers, partners and therefore our shareholders. I'll hand the call back now to Colleen, so we can take your questions.
Colleen Healy: Thanks Jim. Let's now proceed to questions. Operator will you please repeat your instructions?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Andrew Steinerman from JPMorgan. Andrew, your line is open.
Andrew Steinerman: Good evening. Congrats. Jim, could you talk a little bit more about CIFIN, three questions about CIFIN. One what is trailing revenues? Two, what's the competitive landscape look like in Columbia and three, why not acquire a 100% upfront?
Jim Peck: Yes, so I guess, I'll take them in reverse order there. There were just some really administrative issues that were causing us not to be able to buy it all upfront and as we I think stated in the next 12 months or so, we'll be getting the rest of the company. The competitive situation is there is another bureau in Columbia. My view and the reason we acquired CIFIN was it's a very nice economy. They are I think -- it's the fourth largest in Latin America. They had really good data assets and they're already growing it double-digits. And we've been actually in Columbia for quite some time. We introduced the first scores there. We knew the company very well. So we know that we can take for example our Spark platform along with things like CreditVision, CreditVision Link, our fraud products and actually accelerate our growth. They're very ripe for that and we think we're going to take, our business is already performing very well and have them perform even better. I don't -- I think believe we've given our the revenue numbers at this point.
Al Hamood: We said for 2016, we acquired it early February in 2016 obviously. We've said that in organic growth, it's going to contribute about 200 basis points or 2% of our overall growth and I would say CIFIN is the lion's share of that growth Andrew. I would also say that it is a double-digit grower, has historically been and accretive in 2016.
Jim Peck: Andrew, I'll give you a chance to ask maybe a follow-up on that if you have any specifics.
Andrew Steinerman: No, not on what I said but do you feel the profitability of CIFIN could come up to company average over time?
Jim Peck: Yes absolutely. It has the same business model as the rest of the businesses and I guess I'll take this opportunity to talk about the model that we're building which as you know when we build things once we try and use them around the world and this fits perfectly into that model for us. We're beginning the integration in that process already.
Andrew Steinerman: Perfect. Thank you.
Operator: Your next question comes from the line of Gary Bisbee from RBC Capital Markets. Gary, your line is open.
Gary Bisbee: Hi. Good evening and congratulations on the strong results. I wonder if you could give a little more color on the segment level in terms of the revenue growth expectation for 2016 in particular I know mortgage is enormous for you, but that's likely to slow. How do we think about that impacting the U.S. business? And then within the international businesses, what's -- are you expecting any variability in the growth rate based on different economic conditions. Obviously India is great, but a lot of Latin America seems struggling and South Africa obviously. So any comments on how we think about relative growth rates. Thank you.
Jim Peck: Sure Gary. I'll paint a broad view of our '16 guidance. The growth is coming virtually across every portion of our business, not only in the verticals in the U.S., but you would typically expect in financial services, but also healthcare, rental screen, government and it's coming through a combination of our core business growing and also our new initiatives growing just as we've told you they would do. So that's driving a good chunk of the growth. In our international markets, we don't -- as we see the economies in each of the countries we're in, they redoing fine. The consumers are definitely engaged in the process and our business customers are also very interested in expanding the middle class or expanding credit to a much larger population. So that's driving good portion of our growth. And in our consumer space, we're also seeing double-digit growth in our direct and indirect channel. So it's really broad-based growth across all of our verticals. I think why don't I turn it over to Al and he can give you a little more color on each one specifically.
Al Hamood: Yes, I will. Then I'll answer the question on mortgage. I think in the context of the guidance we provided of 8% to 10% on constant currency, within USIS we expect high single digit growth. You're going to get double-digit growth from some of our new and emerging verticals, which examples would be healthcare, insurance and government. In our more core verticals, we're assuming mid single digit growth driven by new product growth as well a stable market. International, international growth is high single digits to low double digits and we're seeing strong constant currency organic revenue growth in both developed and emerging markets. So international continues to outperform. In outperformance, in that particular market is compounded by very, very strong performance in India where we continue to pick up equity interest and continue to grow our presence there and our recent acquisition of Columbia. Finally as Jim said, consumer interactive growth is high single digit to low double digit driven by growth in both channels. One point on mortgage I just want to touch on, our -- the TransUnion U.S. mortgage business today where our mortgage exposure is, is probably now about less than 10% of our overall consolidated revenues, which has come down dramatically from where it was years ago given the diversification play that we put in place. Having said that when we look at the mortgage market in '16 what we're assuming is kind of flattish type growth. We're not assuming any major, rebalance or any major recession and offset some of what we're thinking around the market there is pricing and that we're putting in place to help us get to what I would say to be more flattish type revenue growth in that business.
Gary Bisbee: Great, thank you. And a quick follow up just any color on margins, the segment level, is it reasonable to expect margins would increase in all three segments or any quick color there. Thank you.
Jim Peck: I would say, margins are going to grow right around a 100 basis points or slightly above that from 2015 to 2016. If I was to say couple things, one is our international margins, you will see growth there. Why am I saying that, we talked a lot about in Q3 and even in the Q2 call we are investing in that particular business both around growth, but as well as around productivity initiatives to try and drive 2016 margin expansion. So what you're going to see in '16 particularly in international is two things. One you'll see the cost that we put in play to remove the cost structure in 2015 go out. And then you're going to see the associated return on that drive further margin expansion in '16. I think interactive margins right now are pretty solid at a higher level. We don’t think or feel like we need to grow those even higher than where they are right now, which is market leading margins.
Gary Bisbee: Thank you.
Operator: Your next question comes from the line of Shlomo Rosenbaum from Stifel. Shlomo, your line is open.
Shlomo Rosenbaum: Hi, thank you very much for taking my questions. Hey, Jim can you comment a little bit about what you’re seeing from the consumer both domestically and internationally? Your numbers seem to be in stark contrast to what the equity markets would be implying with the valuations coming down and are you noticing any slowdown in consumer credit in any particular area, just can you comment on that?
Jim Peck: So we're not noticing any slowdown in any particular area. I think consumers remain extremely interested and inquisitive about their personal situations whether its credit or fraud or just reputational risk. And as you know events often drive their interest in these things, whether they're buying a house or they have had fraud committed against them or there are new entrants into the market perhaps is graduating from college and a lot of what we do is market particularly to those kinds of events. So, we're not experiencing any slowdown. In fact we're seeing in a very engaged consumer base and in our international markets we talked about it. We especially like the emerging markets because the other dynamic is the government is very interested in helping to build that middle class. And so its industries work together with government and we're part of their industry to help reach more the middleclass and that gets products like our CreditVision and other just standard credit products just simply get more volume in that kind of market.
Shlomo Rosenbaum: Okay. Great. And just from a modeling perspective just want to get straight if you net, net the acquisitions and the currency headwinds, we're talking about 8% to 10% constant currency organic growth. Just want to make sure I understand that and then I want to ask a free cash flow thing.
Jim Peck: Yeah, that’s right.
Shlomo Rosenbaum: From a tax perspective how should we think of free cash flow for this year? I know that you're going to have burn through the NOLs that were generated through the LBO but then you're also going to be kind of finishing up on the technology transformation. How should we think about free cash flow for this year?
Al Hamood: I would say -- it's obviously the way we define free cash flow as pretty clear and straightforward, it's operating cash flow minus our CapEx. As I look at 2016 in the guidance that I provided, what I would use to take adjusted EBITDA which we gave you of $580 million to $590 million, less net cash interest expense, which we said was between $85 million and $90 million, less cash interests, tax expense and I will come back to that less Spark, which is an adjusted item, but there is a cash component of around $50 million, plus CapEx which we said around $125 million. And then our use of working capital has been about $25 million-ish over the last couple of years. I think that thing continues on to be use as we continue to outperform on the topline. From a cash income tax standpoint if you take our EBITDA, less our interest expense of around $85 million to $90 million, less depreciation, through depreciation I think you get to a number, multiply it by our tax rate of about 38% Shlomo, that gets you to a number and we have around we have an NOL left of around $25 million. So I’ve given all the components of that and happy to walk through that again.
Shlomo Rosenbaum: Okay. Great. Thank you.
Jim Peck: Thank you, Shlomo.
Operator: Your next question comes from the line of Paul Ginocchio from Deutsche Bank. Paul, your line is open.
Paul Ginocchio: Great, Jim just a couple of question. First it looks like even with taking out the acquisitions your USIS' business was showing double digit growth. It seems like it’s a little bit fast to market. Can you tell us what drove maybe that above market growth? And then second, typically consumer interactive doesn’t go down on a Q-on-Q basis, but it did here in the fourth quarter, was that a breach contract growing up or was it something else thanks.
Jim Peck: Yeah, so regarding USIS, the thing that drove growth was around 60% of the growth of that business was driven by the core and the core performed very well and we told you this before and you can imagine its always going to be 50-50, 40-60 between those two drivers. The 40% of growth came from the new initiatives. So we've had significant penetration with products like credit vision that are really starting to pick up steam in the market right now as they become more of the standard. So you heard us and you heard it but Fannie Mae will be using trended data where we had been working with them for years on that and therefore we’ve already got penetration. You add layer on to that, some of our fraud products that have now taken hold and layer on top of that, the acquisitions that have turned organic like TLO, XP and DHI and our insurance sector and I’m kind of keep layering here because this is more or less our operating model when it comes to growth. On top of that you lay on healthcare, which is a new vertical for TransUnion anyway and you can see we have a lot of different growth drivers that keep contributing and keep building momentum in the market to help us drive above market growth.
Paul Ginocchio: And Jim you basically asked the question I was talking more about online data services, but was it CreditVision and fraud that drove the incremental acceleration even excluding the acquisitions from the third quarter?
Jim Peck: Yeah, I would say that’s fair enough yes. There are other things but would be two big drivers of that.
Paul Ginocchio: And then just on interactive?
Jim Peck: Can you repeat that question so I make sure I got it.
Paul Ginocchio: Sure, revenue typically doesn’t go down Q-on-Q in the interactive division, but it did in the fourth quarter versus the third, I was just wondering if that was a breach contract rolling off or something else?
Jim Peck: No, it wasn’t. It was not a breach contract falling off. We were getting a little feedback here. I think that from -- are you comparing third quarter to fourth quarter. I really frankly the way we kind of manage it is we compare the annual quarter-to-quarter and that’s where you take out any seasonality. And so there wasn’t anything really specific that fell off the growth for the full year is 30% and 21%. So is it very solid year with good momentum heading into this year.
Paul Ginocchio: Thank you.
Operator: Your next question comes from the line of Bill Warmington from Wells Fargo. Bill your line is open.
Bill Warmington: Good afternoon everyone. So I had a question for you on the trended data products and your competitor Equifax has mentioned this product too and it raises a question in my mind of what’s the competitive dynamic going to be for trended data going forward? Is it going to be all three bureaus potentially benefit equally? Is it then opportunity for someone to capture and hold, share in an industry where that sometime has been difficult to do? What do you think?
Jim Peck: Yeah, Bill so the -- we’ve been working with CreditVision or this trended data product for years and years. In fact we believe we're the ones we are setting the standard and we’ve already -- are using this product in market today with some of the largest banks and we’ve already taken our product and its being used today. Not experimented with, not demoed, not product typed in countries like Canada and Hong Kong where we are taking share. Not only that, we’re not in the first innings of this product for us. We're getting into the third and fourth and we’re using the same trended data in our alternative data sources. So non-traditional credit and we call that CreditVision link, which is also driving growth. On the other hand we know that for something to become a standard that the market especially in U.S. demands that more than one player be able to provide it and we feel very good that Fannie Mae kind of help drive the industry to getting at least two players us and Equifax to supply this data to them starting somewhere in the third quarter of next year. So we believe that we’ve got a good head start. It’s already driving some market share gain for us not only in the U.S., but internationally and we’re continuing to expand on it as a product line. So I think for us anyway, it’s going to continue to be a good growth driver going forward.
Bill Warmington: And then a question for you on the consumer interactive side, you kind of led our success with the Credit Karma channel, is there an opportunity to expand other channels besides that -- besides Credit Karma?
Jim Peck: Yes. So we actually do acquired a portfolio of partners not only let’s say in that channel, but in that channel for sure. Also our bank partners directly are doing these kinds of things and utilizing our services. And also I think you’re talking about maybe Affinity and other channels like that. Yes we believe there is still a nice pipeline for growth in these channels, but we’re also building our footprint within these very big partners in the current channels. So it’s not just simple credit products. There are other things we’re doing in order to establishing even greater portion of the share.
Bill Warmington: And then a couple of housekeeping questions just around the organic growth, so to make sure my math is right, if Q4 organic growth about -- are you talking 95% of the 19% constant currency or about 18% organic?
Jim Peck: That's about right.
Bill Warmington: Okay. And then just on the amount of revenue from the acquisitions built into 2016 works out to be about $30 million just to make sure I am not missing something up there?
Jim Peck: Yes that’s about right.
Bill Warmington: Ballpark, okay good.
Jim Peck: Ballpark.
Bill Warmington: And then for CapEx, I know you had mentioned 7.5% for 2016, how do we think about that going forward? Is 2016 a transition year to something lower in '17 or is 7% to 8% going to be the normal rate going forward?
Al Hamood: I would say, I would model approximately 7% CapEx as a percent of revenue going forward. '16 is going to be a little bit of a transition plus there is some CapEx associated with the deals that we’ve just done, but going forward assume in '17 and beyond approximately 7%.
Bill Warmington: Okay. And last question, I was just hoping you could give us an update on the CreditVision link using the trended data and the alternative data whether you've been having some -- how the traction has been going there?
Jim Peck: Yeah, very good. We continue to -- first of all we continue to close CreditVision deals not only here in the U.S. but internationally as I said and we're beginning to now expand that to use CreditVision Link. As you know or may know, these tools are very powerful and they really do affect the underwriting that our customers do and the decisions they're making. So we’re in the middle of significant number of tests to expand the use of CreditVision with CreditVision Link. So we feel very good about that solution going forward.
Bill Warmington: Got it. Thank you very much.
Jim Peck: Thank you, Bill.
Operator: Your next question comes from the line of Manav Patnaik from Barclays. Manav, your line is open.
Manav Patnaik: Yeah, thank you. Good afternoon, gentlemen. I just wanted to ask a best case and worst case questions. So your 6% to 8% organic growth, which you're guiding for '16 with all the commentary that you’ve given sounds like it could be potentially conservative. So just trying to understand what other areas you're giving yourself some room for error in terms of getting to the high end or above that and then the other end of the question is just, you guys are obviously a much different company than what you were private in the last recession, but just trying to understand how you guys fit in and if you have any thoughts on how things would be different this time around?
Jim Peck: Yeah, so I’ll just tell you the drivers of our growth this helps we obviously give ranges for reason but the drivers of our growth are broad based across the whole business and so we don’t see any particular area of weakness if that’s what you're looking for I think in your answer. We see whole lot of areas for strength. At this point we just felt that that guidance I think the 6% to 8% is organic and it's all in and that's is our best look going forward.
Al Hamood: I would say -- I would just follow that up, we’re saying, we’re coming off of two years of double-digit growth and six months out of the gate of an IPO. So we’ve now had couple of different earnings calls and this guidance is actually higher than the long-term growth model we provided on the road. My point being that this is a good guidance. I think it’s a full guidance and as Jim said, the variability between the 200 basis points on a constant currency all up basis from 8 to 10 is going to fluctuate in terms of potentially different markets and new product growth and some of the successes of those two.
Jim Peck: So your second question was more I think about our transformation and…
Manav Patnaik: Yes it was just around how we should expect the business to perform if the equity markets arise in predicting recession?
Al Hamood: Well I would first of all just to be clear the -- Jim will talk about the recession, but the one thing I would say that impacted us the most, when there was truly a recession during the 2007, 2008, 2009 period was mortgage and the mortgage market and what happened with our volume there. But we saw a dramatic drop. Our business today is a much different business from then and today the mortgage market as a overall percent of our revenue is less than 10%. So there would be some impact but it wouldn’t be as dramatic as it was before and even if you do the math and you start taking 10% and run the scenario, it’s not going to be material to our overall profile today.
Jim Peck: That’s right. So another way of saying it I guess is that we’ve significantly diversified our sources of revenue and they’re not nearly as subject to what some people might be predicting as a recession, but we’re also not seeing those kinds of behaviors either. So we’re much more diversified and I think the consumers is probably not going to disengage in this economy and finally our business model which has changed substantially leverages a lot of core assets so that in a downturn, we're not -- we wouldn't see a significant as a hit on our EBITDA.
Manav Patnaik: Okay. Fair enough and just so I just wanted to clarify again, maybe I am just getting the numbers mixed up here, but the implied guidance in 2016 for constant currency organic growth is 6% to 8% correct, if I heard you say 8% to 10% in this.
Al Hamood: 8% to 10% is constant currency revenue all up and in on an organic basis, which you implied is correct.
Manav Patnaik: Okay. All right. Thank you guys.
Operator: Your next question comes from the line of Andre Benjamin from Goldman Sachs. Andre, your line is open.
Andre Benjamin: Thanks. Good evening, guys. So I think most of my questions have been answered. One that I have wanted to talk a bit about is the TLOXP business. You talk a lot about that when you're on the road. Maybe you could talk a little bit about what it contributed to USIS growth in the last quarter and are there any recent developments in terms of customer activity that you can give color on how you're competing against market leader [indiscernible] there?
Jim Peck: Yes, so the business itself has grown at double-digits. So it's been a significant contributor to USIS growth and we're seeing that it had strong momentum going forward. So we expect it to be a double digit grower going forward. As you know I know a little bit about the other company. We believe that we have certain advantages by being a source of the information itself but the credit header file that feeds the TLOXP product. In addition, we're adding new functionality into the solution all the time and it's just allowing us to compete and take share and they are the market leader with the most share and we're -- our business model in this business from the beginning has been to go ahead and take share leveraging our very trusted brand and also our trusted sales force. So that model is working well for us.
Andre Benjamin: On a similar line of questioning, USIS' growth has been particularly supported by the new initiatives like healthcare insurance, rental or I guess anything that you could point out there that is different than say the last couple quarters or anything that would -- that we should be mindful of as we continue to assume double-digit growth there?
Jim Peck: Yes, we're going to continue to see very good growth there and what would drove it, I think you asked me what drove it the last few quarters maybe differently than the previous quarters to that?
Andre Benjamin: Is there anything that's different going forward relative to what's been happening the last couple of quarters assuming changes in the environment and what your winning was?
Jim Peck: No I would say that we are expecting to see continued momentum in all our new initiatives across the Board. We have not assumed any significant hick up good or bad in mortgage. So I think we're assuming somewhere between flat and maybe down 2%. So that you could say might be a little different than the previous two quarters. So it's a combination of good strong momentum in the core business, good uptake in our new initiatives and flat to maybe just a little down in mortgage.
Andre Benjamin: Thanks.
Operator: Your next question comes from the line of David Togut from Evercore ISI. David, your line is open.
Rayna Kumar: Good evening. This is Rayna Kumar for David Togut. For 2016, can you quantify cost savings you expect to realize from technology initiative such as Project Spark?
Al Hamood: This is Al. We did not purposely talk about cost savings or give particular guidance on it. I would say, if you look at our margins dating back to 2013 when we really embarked upon our Project Spark program and you look at where we were coming to today, they've grown 200 to 300 basis points since that time period. A large portion of that growth has come from our technology savings, which is dropping to the bottom line. Jim can talk a little bit more about the completion of it, but I'll turn it over to Jim.
Jim Peck: Right. So what I've said before because we haven't gotten precisely specific is the program is saving us in the tens and tens and tens and tens of millions of dollars over the period. So very significant but equally important is that we are able to innovate much more quickly not only in the core infrastructure where you're ingesting data and preparing it for analytics, but also the analytics platform itself is also new and so it's allowing us to get these new products we talk about much more quickly, not only in the U.S., but internationally. So that's allowing us to innovate more quickly and obviously it keeps our cost down while allowing us to actually increase our output. The other thing that's important to understand is our CapEx spending and I think I have talked about the range where you can assume it's going to be. What's happening now is rather than investing a significant portion of that in two things like refreshing technologies that don't really drive new revenue, we're actually investing the higher proportion of that into building new solutions that drive new revenue. So we've changed the whole dynamic of how we're spending our technology fund, not just to maintain the core, but it's actually being used to drive new revenue growth and it think that if among several things that's real secret to what's happening here at TransUnion and our ability to innovate, we're able to just simply throw more dollars at new growth, while also taking cost out of the business because we're not spending as much on things that don't drive revenue.
Colleen Healy: Thank you. And operator I think we have time for just one last question please.
Operator: Our last call for today will come from the line of Sara Gubins from Bank of America, Merrill Lynch. Sara, your line is open.
David Chu: Hi, this is David Chu for Sara Gubins. So in terms of the technology upgrade, like what is left to do and if you can help us think about timing of when that might be completed?
Jim Peck: Yes, so it will be completed by the end of June. What is primarily being done now is there is two major components. There is many more, I'll kind of simplify it, there is big batch kind of components to what we do and then there is online components to what we do and most of the functionality for the batch portion is complete and customers migrate it. We're just finishing up the online and we'll be migrating those customers as well. So a lot of it is about migration at this point and not necessarily building code or kind of try. The problems are all solved, how about putting it that way. Now it's largely testing and migration.
David Chu: And how much of a benefit to margins is this exercise?
Jim Peck: Well, we haven't quantified out the exact benefit because we've done a lot of cost initiatives as well as we've changed the mix of our growth, but you will see in Q3 and Q4 margins increase probably relative to what you're going to see in Q1 and Q2. So you'll see margins pop as we start to get away from and complete the migration of this in a couple other investment related activities that we've brought on in Q1 and Q2.
David Chu: Okay. Great. And just lastly, I think last quarter you mentioned that CreditVision more than doubled in revenue, can you help us quantify the revenue contribution in the fourth quarter?
Colleen Healy: Yes, from a product perspective, from CreditVision it was triple digit grower.
Jim Peck: Yes, so I would look at it this way with CreditVision. There is a significant amount of ramp to go with products. It's extremely powerful and we've definitely kind of taken the first wave and probably the second, but we have many more to go and now it's getting even more integrated with the rest of our solution set. So it's going to continue to be a very, very strong grower for us going forward.
David Chu: Got it. Okay. Thank you very much.
Jim Peck: Okay. Thank you.
Colleen Healy: Thank you. And thank you, everybody for your participation in today's call. If you have any further questions, please feel free to call me or Lindsey Whitehead or my team directly. As previously mentioned, we will post the audio replay of this call on our website at www.transunion.com/tru later today. I will now turn it back to the operator to conclude the call, please.
Operator: This concludes today's conference call. You may now disconnect.